Theto Maake: Good morning, once again ladies and gentlemen. I’m Theto Maake, Head of Investor Relations for Anglo American Platinum. Thank you for taking the time to join us for our 2024 Interim Results both in person and online. For those in person, welcome back to our offices. I would like to draw your attention to the cautionary statement and would appreciate if you could read this in full in your own time. We have also allocated time for Q&As at the end, at the end of the presentation. I am going to hand over to our Chairman, Norman Mbazima who is actually Chairman of our Board as well as of the newly constituted independent Board for some brief opening remarks before Craig and Sayurie. Norman, over to you.
Norman Mbazima: Thank you, Theto. Good morning and welcome to the presentation of our 2024 interim results. Before I do that, let me start by acknowledging my fellow Board members, both in the room and online. I was with Steve Phiri a little bit earlier. He's in here somewhere. In the room, we also have members of the Platinum Management Committee, most of those who are seated in front here. In my role as Chairman, I wanted to set the scene with two key messages. The first is to acknowledge the efforts right across the organization in helping to deliver the change necessary for this business to achieve its full potential, especially in light of the challenging commodity prices. Real change is often very hard to achieve, but as you’ll hear from Craig and Sayurie, the benefits of that change are starting to come through in our performance, and we should see the benefits continue to come through over the coming quarters. The momentum in underlying performance comes at an important time for the organization as we look ahead to our impending demerger from Anglo American. My second key message is that we look forward to the future with both confidence and excitement about what can be achieved. I see this as a favorite child reaching maturity and leaving the parental home to get married and start a life independent of the parents. That means everybody wants us to succeed, including the parents and everybody. We have an outstanding platform to work from with an industry-leading mineral endowment, world-class mines and processing assets, and global marketing capabilities. On this strong foundation, we will build a successful independent business for the benefit of all our stakeholders. I know Craig will come back to some of these things later in the presentation, but I would like to reiterate my thanks on behalf of the Board on the efforts of our team and our stakeholders for delivering the change required to succeed, and also our confidence and excitement, once again, as we plan towards the next phase of this organization. That said, let me hand over to Craig and Sayurie for a more detailed update on the H1 business performance. Craig?
Craig Miller: Thank you, Norman. Good morning, ladies and gentlemen. I'll take you through an overview of our operating context, as well as an update on our action plan and the operational performance for the first six months of the year. Sayurie will then take you through the financial results, after which we'll spend some time on the market and then also looking ahead. Thereafter, we'll take your questions. Starting with safety, which remains our number one priority, I am deeply saddened by the devastating loss of two of our colleagues at Amandelbult, Dishaba Mine in June. Our thoughts and prayers remain with the families, the friends and colleagues of Thepiso Mokale and Euzmen Ndlebe. A full investigation of the circumstances behind the incident at Dishaba is underway, and lessons learned from this tragedy have been shared across the business as part of our immediate call to action. We also embarked upon a seven-day self-stoppage at Amandelbult. Frontline and management teams were retrained, and an independent underground assurance audit was conducted during this process. Mogalakwena, Mototolo and Unki Mine have recorded more than 11 years fatality-free mining, and prior to this incident, Amandelbult had recorded three years fatality-free. This does demonstrate that zero-harm mining is possible. We'll continue to focus on our strategic priority of going beyond resilience to thrive through change as we navigate an ever-evolving operating landscape. Continued suppressed PGM prices from 2023 going into 2024, and an uncertain timing for price recovery coupled with the significant cost pressures and geopolitical tensions required us to respond decisively. We took disciplined, focused and decisive action in response to these external pressures by reconfiguring and rightsizing our business. The initiatives were in pursuit of operational excellence, increased levels of productivity, as well as ensuring cash generation through a low PGM price cycle. This was necessary to ensure the long-term sustainability and enhance our competitive position as a business while maintaining and preserving optionality. So let me start by reminding you of the action plan that we established. It consisted of five key elements. First is safe and stable production, which is focused on generating value over volumes aimed at safely improving on our operational performance and maintaining our own mine production. Second, our focus is on improving cost efficiencies through a R5 billion cost saving program for 2024 aimed at ensuring that all our assets are firmly positioned in the first half of the cost curve. Third, rationalizing capital by reducing our 2024 sustaining capital spent by 15% to 20% or R5 billion without compromising the integrity and reliability of our assets. Fourth, rephrasing growth by prioritizing Mogalakwena's underground studies and the Der Brochen life extension, as we look to the longer term. And finally, we're reconfiguring our processing assets with Mortimer now placed on care and maintenance and studies underway for it to be repurposed to a slag cleaning duty on the back of a footprint optimization and mass pool reduction strategies which are well underway. In addition to these initiatives, to provide a necessary pathway to a sustainable future, we took the difficult decision to implement an organizational restructure to reconfigure our business to improve productivity. This impacted both our employees and our contracting companies. As Norman mentioned, we are now starting to deliver on these plans we put in place to allow the organization to thrive on a sustainable basis. So let me unpack that in a little bit more detail for the first half. We produced 1.76 million PGM ounces with an EBITDA of R12 billion and a mining margin of 28%. This was a resilient performance against a backdrop of a lower dollar PGM basket price of $1,442 per PGM ounce. The overall cost and capital savings realized in the first half of the year was approximately R4.7 billion. So taking a bit more detailed look at the delivery of our action plan, which is progressing swiftly and we're expecting the program to be fully implemented by the end of this year. The cost-out program has reached the mid-point of the planned savings for the year. This comprises of approximately R2.9 billion in operating and overhead cost savings and a R1.8 billion stay-in-business capital reduction. The consultation process for the Section 189A restructuring has been completed with 75% of the affected employees leaving the company by the end of June 2024 and the remainder expected to leave in the second half of the year. Similarly, 60% of the contracting companies under review have also been off-boarded. These measures are expected to result in the 2024 cash operating unit cost of between R16,500 to R17,500 per PGM ounce. Our efforts so far placed three of the assets in the lower half of the cost curve. So moving to our operational performance. Total PGM production was down 5% compared to the prior period. However, we did see positive momentum gained in the second quarter of the year. Our operational excellence initiatives are ensuring that we're on track to deliver on our full year guidance. Refined PGM production increased by 5% to 1.78 million ounces due to a larger release of work-in-progress inventory compared to the same period in 2023. Sales volumes rose by 9% to 1.97 million ounces due to the drawdown of inventory. Looking specifically at our own mines and processing operations in more detail. As mentioned earlier, as a consequence of prioritizing value over volume, we have focused on the open-pit optimization of Mogalakwena, optimizing it and ensuring that we kept generating near-term cash flows. Adjusting the mining sequence will enable us to mine less waste and target a lower mining unit cost in the medium term. Early indications are that once completed the optimized plan will enable approximately a 10% reduction in waste tonnes and lower stripping ratios than what we had planned at the end of last year. We continue to work on the optimization of the mine plan and the extraction sequence, which will support the mine achieving its full year grade of between 2.7 grams to 2.9 grams per tonne. So moving specifically to Mogalakwena’s first half performance. A new bench cut sequence progressed during the first half of the year, which resulted in a 14% increase in waste tonnes extraction, with mined volumes supplemented by low-grade ore stockpiles. Total tonnes mined increased by 12% to 45.2 million tonnes owing to the introduction of the new rope shovel, as well as the continued performance of the hauling and loading fleet. Built-up head grade at 2.5 grams per tonne was lower, as expected, due to the blending of the high proportion of low-grade ore stockpiles coming ex-the ore pit. As a result, at Mogalakwena, its M&C production decreased by 2% compared to the prior year. All-in sustaining costs improved by 17%, owing to higher sales and lower costs as an outcome of the operational excellence work. Further to this, we are prioritizing the drilling and the studies of the underground exploration decline, which will be an important step for securing higher grades, creating waste rock dump efficiencies and minimizing future haulage costs. The Mogalakwena North Concentrator's primary mill did experience an electrical failure on the 1st of July, with repairs and mitigation plans underway. These are expected to be largely completed by the end of this month. It will have approximately a 5% impact on Mogalakwena’s metal and concentrate production in 2024. Our efforts to reset relationships with our community stakeholders are progressing well. This includes the collaborative work between government, traditional authorities and community members within the resettlement process, as well as managing cultural heritage risks. At Amandelbult, prior to the two fatalities, the turnaround initiatives to improve safety, productivity and efficiencies were progressing well, with consistent improvement achieved in the second quarter. From a mining perspective, immediately stoppable reserves and development metres improved by 10% and 6% respectively compared to the first half of 2023. Despite challenging ground conditions at Dishaba, total underground tonnes build increased by 3%. A 7% improvement in grade was realized in the first half of the year. The Section 189 process had the most and significant impact on Amandelbult, with about 50% of affected employees exiting the business in June, and the remainder to leave in the second half of the year. The objective of the reconfiguration is to improve the asset's productivity back to pre-2020 levels, with a 3% improvement already achieved in the first half compared to the prior period last year. Metal-in-concentrate production did decrease by 5%. However, we saw a 7% increase in the second quarter compared to the first, showing early signs of a turnaround. Chrome production rose by 2% to 424,000 tonnes of concentrate as a result of the higher yield at 20.5%. All-in sustaining costs at Amandelbult improved by 25% owing to the progress made on the operational excellence work and the increased employee productivity. We remained focused on safety and continued to drive mining and plant excellence at the operation. At Mototolo, Mototolo's PGM production decreased by 12% to 128,200 PGM ounces due to the challenging ground conditions at the Lebowa shaft as it reaches the end of its life. This was exacerbated by a shortage of specialized skills at the operation. Despite these challenges, the introduction of a new seven-day mining shift cycle at the end of the first quarter partially offset this impact, ore grades increased by 3% due to operational improvement initiatives across the complex. The Der Brochen project, which is focused on replacing infrastructure closures at Lebowa, is progressing in the execution phase, with meaningful production anticipated to ramp up in 2025. Refined PGM production increased by 5% driven by the release of work-in-progress inventory compared to the same period last year. There was no impact from Eskom load-curtailment during the first half. The continued release of concentrate stock has enabled stock levels to revert to normalized levels from those built up in 2022 as a result of the Polokwane smelter rebuild. Furnace matte stock has decreased by approximately 25% compared to December 2023 and has progressed to the next stage in the work-in-progress value chain. We continue to show improved utilization of our smelters and are driving further efficiencies. I'll now hand you over to Sayurie to take you through the financials.
Sayurie Naidoo : Thank you, Craig, and good morning, everyone. As Craig mentioned, we delivered a resilient financial performance for the first half of the year, reflective of the decisive actions that we have taken. To summarize our performance for the first half, revenue generated was R52 billion, which is a 19% drop compared to the comparative period. This was primarily due to a 24% decrease in the PGM basket price, which was partially offset by an increase in sales volumes. Cost of sales decreased by 24% to R41 billion. Notably, we delivered operational and overhead cost savings of R2.9 billion in H1 against our annualized 2024 target of R5 billion, effectively offsetting inflation. This resulted in an EBITDA of R12 billion and a resilient mining margin of 28%. Headline earnings were R6.5 billion. The all-in sustaining cost for the first half of the year was $957 per 3E ounce sold, down from $1,185 in H1 2023. The reduction was due to higher 3E sales volumes, lower costs and lower stay-in-business capital. Our balance sheet remained strong, with net cash of R15 billion, including the customer prepayment. And in line with our disciplined capital allocation framework, the Board declared an interim dividend of R2.6 billion, or R9.75 per share, representing a 40% payout of headline earnings. Unpacking EBITDA, which was R12.3 billion, down 8% compared to H1 2023. The primary factors contributing to the decrease were lower realized prices, most notably palladium and rhodium, having an approximate R4 billion impact on earnings, followed by the impact of inflation, totaling R1.7 billion. From a controllables perspective, EBITDA increased by approximately R5 billion. This was achieved through a 9% increase in sales volumes and cost reductions. There was a further R1.6 billion increase, which includes the benefit of the positive stock count adjustment. These increases were partially offset by the once-off restructure cost of about R1 billion. Mining operations contributed about R9 billion to EBITDA, at a margin of 28%. As a reminder, the cost-saving target is made up of R3 billion in operational costs and R2 billion in overhead and other costs. We are realizing the benefits of our cost reduction initiatives through the corporate and operational restructuring, efficiency improvements, work prioritization, contractor reductions and supplier contract negotiations. Cost reductions of R2.9 billion were delivered, including R1.2 billion from consumables, R700 million from contractors and labor reductions, and a further R400 million in other costs. Additionally, the company reduced overhead and corporate costs by R600 million, largely due to the corporate restructuring completed at the end of 2023. We are on track to deliver the full year cost savings target, which will include the benefit of the operational restructuring. Our cash operating unit cost was R18,280 per PGM ounce, which is 1% higher than the prior period. Unit cost increased due to the lower own-mine production in the first half of the year. However, our cost reduction initiatives more than offset the impact of input cost inflation of around 6.5%. The continued business reconfiguration initiatives in the second half of 2024, supplemented by further cost savings and a step up in production, will enable the achievement of the 2024 guidance of R16,500 to R17,500 per PGM ounce. Capital expenditure amounted to R8.5 billion in H1. Stay-in-business capital expenditure was R2.6 billion, R1.8 billion lower compared to the prior period. This is around 40% of our targeted R5 billion reduction in SIB for 2024. The R2.6 billion was spent on improving the integrity and reliability of our assets, as well as on the extension of tailings facilities at Mogalakwena and Unki. Life extension capital was R1.5 billion, mainly incurred on the Der Brochen project. Capitalized waste stripping increased to R2.5 billion, driven by updated mine positions, resulting in higher volumes recognized for capitalization. Breakthrough project capital was approximately R1 billion spent on the copper debottlenecking project at the RBMR and the footprint reduction linked to the mass pull strategy at Mogalakwena. Other project capital of R500 million was incurred on the development of the Mogalakwena twin exploration declines. Total expenditure for 2024 is expected to remain within guidance of up to R19.5 billion. We continue to be guided by a balanced and disciplined approach to capital allocation. We generated cash from operations of R11.5 billion, after contributing about R2 billion rand to the fiscus in the form of taxes and royalties. We reinvested R8.5 billion into the business and declared a 2024 interim dividend of R2.6 billion. This has enabled us to maintain a strong balance sheet position, ending the period with R14.5 billion net cash, including the customer prepayment. Net cash excluding the customer prepayment is R1.8 billion, and we have liquidity headroom of R37 billion. In line with our capital allocation framework, the board has approved an interim dividend of R2.6 billion rand, or R9.75 per share. This equates to a 40% payout of H1 headline earnings. Dividends declared to employees as part of the employee share ownership scheme Thobo, as well as our communities, amounted to approximately R70 million. Moving on to our contribution to society. We continue to play a significant role within the countries in which we operate. In H1, we contributed R35 billion to our broader society and stakeholders, of which R8 billion was paid to employees in salaries and wages, and R13 billion on local procurement. I will now hand you back to Craig to take you through the rest of the presentation.
Craig Miller : Thank you, Sayurie. So now turning to the markets in which we operate. As you know, the automotive industry accounts for roughly two-thirds of PGM demand. Sales of light vehicles that require catalytic converters continue to rise in the first six months, adding around 2 percentage points. This is on top of the 7% increase that we saw in last year. While the catalyst demand is firmer, as hybrids, which include PGM catalytic converters, are winning market share in comparison to the first half of 2023, increasing more than 2 percentage points, while the growth in the share of pure BEV cells is stalling, recording just a 0.5 percent point rise. There are many indicators across the world that are pointing to greater demand for internal combustion engines and various forms of hybrid vehicles over an extended period, as many of the largest automakers over the recent months have been changing their drivetrain strategies in response to consumer demands, in tune with what we've been highlighting for some time. This, together with other improved contributing factors for the industry, talks to a positive demand outlook for PGMs. While prices are essentially flat, half and half, these dynamics should be supportive of a price uplift. Our estimates of supply and demand once again show a tighter situation in 2024 than had previously been forecast. All three major PGMs will be in deficit this year, considerably more than we had expected at our annual results. Furthermore, looking ahead, we expect platinum to remain in a substantial deficit, while palladium and rhodium will move more into balance. Last year's strong automotive performance highlights two key things that we've discussed many times before. Firstly, people's desire for personal mobility, and secondly, that the energy transition will be more complicated than many expect. Despite the current low price cycle, the critical role our minerals play in the energy transition, helping to form a foundation for a cleaner, greener, remains indisputable. Our market development efforts help ensure that our products have a sustainable and positive impact on the world. We're leveraging capabilities through these activities and capturing value from the adjacent value chains while diversifying sources of future PGM demand. Some key progress that was made in the first half include in the jewellery sector, PGI USA launched Inoveo Platinum, a proprietary platinum jewellery alloy developed by us and alloyed using AI and digital technology. Potential demand is over 300,000 ounces of platinum per year and due to this being extremely well received in the US, we're now planning on a global expansion starting in India. In fuel cell electric vehicles, we've continued to build on the success of H2 Moves Berlin to launch H2 Moves Europe. This includes two new fleets in Paris and in Brussels, in partnership with Hype, who are the official taxi provider to the 2024 Paris Olympic Games, soon to be launched in Hamburg as well. Fuel cell electric vehicles offer a substantial opportunity of 6 million ounces of platinum per year if, one in 10 cars, is a fuel cell electric vehicle. In batteries, extensive testing has been conducted at the Battery Innovation Center in Indiana on Lion Battery’s technology. Early results show a 20% increase in energy density and a 40% reduction in the cost of lithium sulphur batteries. The next step is to explore product development and further commercialization pathways. The potential annual demand from Lion Battery is significant for palladium and platinum if this technology is adopted at scale. And lastly, in demand diversification in the US, Europe and China, we've established three research and development projects that will use PGMs and have developed technology for data centres and microchip processes to increase the speed and reduce their energy consumption, needless to say that in a world of big data and artificial intelligence, this represents a substantial demand source for PGMs. We envisage many future opportunities and turning risks into additional potential demands for our metals by leveraging the characteristics of PGMs in new applications. So as we bring the presentation to a close, I'd like to come back to where Norman started. As we look ahead to the demerger from Anglo American, we will have the tools we need to thrive as a standalone company. As a start, we have an incredible platform, a world-leading endowment, world-class mines, and strength across the value chain from technical upstream know-how through well-invested processing infrastructure to our global marketing capabilities. We have a fantastic team that has helped build the capabilities essential for a leading PGM business in sustainability, innovation, and market development. Although PGM prices have recently been subdued, we're optimistic about the long-term outlook. PGMs play an important role in creating a greener world, and although in the near term prices may well benefit strongly from the changing dynamics in the drivetrain transitions, there are many applications that can build growth over the longer term. This ranges from fuel cell technology, batteries to medical technologies, and battery technologies as well. We've demonstrated a resilient performance driven by our operational excellence initiatives. There are pathways to value that we will pursue with rigour, but also with the overarching commitment to value and capital discipline. We are committed to ensuring that there is the right balance between cash distributions and discretionary investment to drive a sustainable long-term value for our stakeholders. We will now work to embed the capabilities that remain critical for us as a standalone company and set the company up to take advantage of the increased focus and agility that comes of being a standalone entity. We therefore will approach the future with confidence and look forward to working with all stakeholders in making this a reality. In summary, we will continue to be a leading PGM producer with a world-class portfolio of mining and processing assets and global marketing capability. Starting with our mining assets, we have the largest PGM mineral resource with an outstanding development potential and diverse PGM metal mix. This has enabled us to remain highly competitive. We have a leading PGM processing capability to leverage our position as a market leader. Significant value chain synergies have been realized over the year. And lastly, our marketing capabilities. We have global sales and trading expertise that enables us to provide customers with mutually beneficial solutions. Our market development teams continue to work in partnership with others in the proactive development of alternative market segments for our metals. All of the above is premised on our leading sustainability credentials that ensure that we are a responsible global supplier and a valued business partner to our stakeholders, including host governments and our surrounding communities. That concludes our presentation. So thank you once again for joining us. I'll hand you back to Theto, who will facilitate the questions and answers.
A - Theto Maake: Thank you, Craig, Sayurie, and Norman. We will now move to the Q&A session. [Operator Instructions]
Leroy Mnguni : Thank you. It’s Leroy Mnguni from HSBC. I've got a few questions. So the first one is, I quite like Norman's metaphor of the adult that gets married and leaves their parents home. And I'm just curious as to what sort of aspects of your business are reliant on Anglo American that you would need to kind of factor into your strategic imperatives as you break away, be it financial or just operational expertise. I know a big chunk of your 37 billion headroom comes from facilities from group. I'm curious as to how you're funding your trading business as well working capital there? If you could please just break down some of those impacts on your business from the demerger? My second question is there is a bit of a theme in some of your operations, like Mototolo, for example, the Lebowa shaft is coming to an end before the new shaft has been completed. You've over the years had a bit of a catch up on waste stripping at Mogalakwena. It does seem like historically, there may have been a little under investment in SIB CapEx. How sure are you that going forward, you are investing sufficiently into sustainability? And then my third question is the breakthrough with the jewellery alloy. Are you able to comment on whether or not there's more rhodium in that mix or not? I'll stop there for now, thanks.
Craig Miller : Thanks Leroy. So between Sayurie and I, we'll ask Benny also to comment as well on alloy. So let me start with your first question in terms of the demerger and just the work that we have underway. So we have commenced with the demerger process. So we have two particular work streams. One's focused on the demerger itself and in terms of how the company is set up, where we consider the listing and how the entity is structured. And the other aspects around that is then the standalone and the separation. And so work streams have commenced around that. We've started to identify those areas where there is -- where the two company -- between Anglo American who provide service for us, what that work is, and then how we'll then sort of separate that out going forward. So those work streams are underway. We hope to certainly have a very good handle on exactly what that is by the end of this year. And then as we move into 2025, I'd expect then for us to be in a position that we would have arrangements put in place between ourselves and Anglo American to continue those services. So the work has commenced. We've identified some of the areas. As you can imagine, for example, IT, supply chain, etc., are key areas where there's a lot of overlap. And that's what we're going to need to just pull apart. But we'll work through that in a really diligent and an appropriate process with the group such that we're set up to be a sustainable and successful business into the future. And that's very much similar to what's happened at Thungela. And that gives us a great deal of comfort. So that process is well underway. And as I articulated a little bit earlier, that's certainly, expectation is that we would have completed the process in 2025. And in terms, did you want to talk about facilities?
Sayurie Naidoo : Yes, I'll speak about balance sheet. So maybe just to start, I think we do have a strong balance sheet and all the work that we've been doing so far and what we will continue to do is to ensure that all our assets continue to deliver cash. And we would like them to all be in the first half of the cost curve. So we will continue that work. And we believe that our assets are set up to continue to deliver cash. That said, yes, we do have facilities with Anglo American, so that's about R24 billion. But we do also have external facilities of about R10 billion. And I think we'll continue through the process engaging with our lenders and with new lenders as well and be proactive in terms of ensuring that we have sufficient facilities to support us as a standalone business, going forward. In terms of just the customer prepayment, so that's about R12.8 billion that we've got. So not all of that is used for trading purposes, we do have a trading capital limit that we work with and that is approved on an annual basis by the Board. So the trading activity is based on that working capital limit.
Craig Miller : As it then relates to the investments that we've made in the business, I think, Leroy, over the last number of years, we have continued to invest in downstream processing, and we've made the investments in the mining -- and the mining activities. But as it relates to Mogalakwena, as I've pointed out today, as a result of not progressing with the concentrator, we have had the opportunity to reset and rethink about the optimization of the Mogalakwena open pit, which therefore allows us to be able to reduce ultimately the amount of waste that we would have moved had we not done that. And the impact of that is about 100 million tonnes over the coming five years. So, really do -- we continue to make the appropriate investments. We've invested in HME fleets at Mogalakwena as part of its replacement. And then as it relates to the Lebowa ramping down, the Der Brochen project was always part of the sort of the future of Mototolo, and we continue to make progress there and ensure that we get meaningful production from that in 2025. But, I mean, I'm quite confident that the investments that we've made into the business help ensure that we're sustainable and set us up for a successful future. And then I don't know if Benny is on the line. Is he? Benny, would you like to comment on the alloyed and the composition of the metal that's in the solution?
Benny Oeyen : Yes. Thank you, Craig. And hi, everybody. Hi, Leroy. Yeah, I'm under strict guidance from my team, who's telling me that whoever I tell the composition of our alloy, I will have to kill afterwards. So I'm not going to do this here. But so I am not in a position to tell you what it is, but Leroy, what I can tell you is your question specific on rhodium. No, there is not. Rhodium is not part of the mix. It's not.
Chris Nicholson: It's Chris Nicholson at RMB Morgan Stanley, and I've got a couple of further questions related to the demerger, if I could. So the first one in particular is with respect to the dividends. I clearly understand you've paid, according to your stated policy, of 40% of earnings. But, I mean, you had R1.8 billion of cash that you earned and you've paid R2.6 in the dividend. Is there any impact on the dividend going forward, just with the view to the fact that if you had demerged by the end of 2025, would Anglo be wanting to demerge this with cash on balance sheet or be happy to effectively demerge this with no cash on balance sheet? So should we think about capitalizing the entity to some degree? So that's the first point. And then the second point I want to ask, just it's in relation to a comment that you put it within note eight of the full-year statements last year, and you talk about guarantees that you've provided to either the group companies or on behalf of other companies in the Anglo American Group of up to R52 billion. Could you maybe comment as to what those cross-guarantees entails? I'd imagine maybe some of them would be Envusa for the power projects, etc. And how difficult those will be to renegotiate or re-sign without Anglo Platinum as an underwriter or providing guarantee.
Sayurie Naidoo : Okay. So I'll take the --
Craig Miller: Sounds like financial questions.
Sayurie Naidoo : I'll take the dividend. So I think we'll definitely maintain our balanced and disciplined capital allocation framework. So I think the dividend is certainly part of our equity story. We think it's a key differentiator for us in the industry. We paid out 40% of headline earnings, and yes, we do have cash on the balance sheet. However, as Craig mentioned, there are some risks in terms of production that we do have at the moment. So I think once we've delivered on our full action plan, then we would relook at our dividend at each reporting period as we always do. In terms of Anglo American and how the demerger would work, we would need to work with them over the next couple of months over the demerger, but I think we've got an independent Board as well, and we will look to see what's in the best interest of Anglo American Platinum. We want to maintain a strong balance sheet.
Craig Miller: Yeah, I think because we've certainly, we’ve demonstrated that discipline, that's the job of us as management in making sure that we invest appropriately into the business, and that we've got the appropriate returns to shareholders. And I can't see how that's going to change over the coming months as we work through the demerger, and then ultimately, we'll make the right decisions and the right recommendations to the Board, and ultimately, the Board will decide.
Sayurie Naidoo : In terms of guarantees from Anglo American, so there are no guarantees that Anglo American provide to Anglo Platinum currently.
Chris Nicholson: And the other way around, where you have guaranteed this?
Sayurie Naidoo : No. No.
Craig Miller: But you need to just check that. Is it not guarantees that we have internally between AAP to RPM?
Sayurie Naidoo : Yeah, it’s our --
Craig Miller: I think it's our guarantees to our subsidiary companies, I think, Chris, which is the --
Arnold Van Graan : Hi, it's Arnold Van Graan from Nedbank. Three questions from my side. The first one is, Craig, is there going to be a long-term impact from your revised stripping regime and mine plan at Mogalakwena? Basically, trying to figure out whether there's going to be a big stripping bull a couple of years down the line, or when prices go up again, we see a big increase there. And then two questions around the demerger, one is, how do you see the strategy changing when you emerge as a standalone company? And then just the other quick one around that, is there another step down in the cost structure once you demerge from an overhead perspective? Or have we seen all of the changes being taken out, or costs being taken out? Thank you.
Craig Miller: And so, Arnold, in terms of the impact of the stripping, so you'll recall at the beginning of the year, we said that we were going to do work around optimizing the Mogalakwena pit as a result of the decision that we took around the third concentrator. So that's what we've presented today. So what that means is that in 2024, you would have seen a step up in waste removal. However, in the after years, where we were planning on increasing waste removal to about 150 million tonnes, we've now, as a result of this, been able to reduce that. And we'll have a saving of 150 million tonnes per annum, and we'll have a saving now of about 100 million tonnes over the period. So we've been able to substantially reduce that waste removal, therefore improving Mogalakwena’s cash flow and ultimately the efficiencies. And we're continuing to optimize that at the moment, until we've got it in the right place that we can extract the appropriate amount of ore to support the concentrators that we have. So yes, you'll see a step up this year, as you've seen in the first half, and likely again into 2025. However, that massive step up that we were anticipating, we don't believe that that will materialize as a result of the work that we've done. So I think that's the important thing to mention. It's a benefit in the medium term, that's what we've been able to do.
Arnold Van Graan : Okay, but that also then coincides with a flatter production profile, there's no growth then?
Craig Miller: So as a result of the pit optimization and the access to the ore, over the next few years, you will not see a step up in PGM ounces. However, in years three and that onwards, as a result of the grade that we've been able to access in those particular areas, you'll see the grade reverting back up to well above the three grams per tonne, which will result in higher PGM ounces. In terms of the demerger and the strategy, as I outlined on the last slide, I mean clearly from a strategy perspective, we're a PGM producer. We're headquartered here in South Africa, we're very comfortable operating in Southern Africa, and just given the quality of the assets that we have, both mining and processing, and then ultimately also how we're able to sell those, the PGMs that we mine, our focus is in extracting the most amount of value that we can from the assets that we have. And so from a strategic perspective, and given the change that we'll have, so we'll now be able to invest our capital back into the PGM business, but we'll do that in a disciplined way as what Sayurie has outlined, making sure that we've got the appropriate returns, that it meets the necessary hurdles that are required, and that we also then balance that investment with returns back to shareholders. And that's very much linked to the strategy, but our primary focus, as we started to do this year, is that operational excellence, so that we can get the most value out of the assets that we have, and that's our key focus, and we believe it's important for us as part of then going forward as an independent company. And in terms of costs, I'll get Sayurie to comment on sort of the anticipated costs of the demerger, but as a business, I always think that we can do more in terms of improving our cost efficiencies. And so as we go into the next phase of our planning, and we'll be certainly looking to see how we can realize some additional cost savings to ensure that we are firmly planted in the lower half of the cost curve on all of our assets.
Sayurie Naidoo : Yeah, thanks Craig. So I think in terms of separation, we are still working through that with Anglo American. However, we currently do share a lot of services with Anglo American, IM, supply chain are some of the technical. So we obviously would need to bring that, either look at building that capability internally or outsourcing some of that. So we're still working around the cost, but we don't expect that it will be materially different. Although as a standalone entity, we do expect there will be some further efficiencies that we can deliver just through being more agile. From a supply chain perspective, there are some contracts that are negotiated globally, so we really benefit from scale efficiencies. Those will obviously have somewhat of an impact on us, but we don't expect it to be major as Anglo Platinum is a large off-taker of those agreements. But it should be a balance between your services and then your increased costs from contracts.
Craig Miller: I think at a corporate level, the majority, it's going to be at that corporate overlay and as Sayurie said, we don't anticipate them being materially different to what we currently are incurring.
Arnold Van Graan : Thank you.
Theto Maake: Let's take one last question in the room before moving to the conference call.
Steve Friedman : Hi, it's Steve Friedman from UBS. Just -- maybe just two questions from you. One is just the increase in trading revenue, if you could maybe just unpack what's behind that and if there's anything that we can learn in terms of demand and any pickup there. And then just the second one is on your current stocks, work-in-progress inventory and also finished stocks, if you could maybe give us some indication of where we stand there currently?
Craig Miller: Thanks, Steve. I'm going to ask Hilton to comment on the trading.
Hilton Ingram : Hi, Steve, it's Hilton. I hope you're well. Steve, it's more a function of the fact that prices have traded in a very narrow range. And hence, that's, you know, and we work within a VAR limit, so value-at-risk limit. And with prices being in a narrow range, so too VARs have decreased, and that's given us the flexibility to do greater volumes. So that would be the main driver of the trading volume increase.
Sayurie Naidoo: Okay, I can take the question on the inventory. So in terms of our work-in-progress inventory, you'd recall that we had a build-up of work-in-progress as a result of the Polokwane smelter rebuild. So we've worked that down at the end of December in terms of concentrate stocks. It then moved into the furnace matte, which we're now working through. It'll then move to the next part of the processing, which is before the RBMR and the PMR. We do expect that that work-in-progress inventory should be at normalized levels by the end of the year, and that excludes, though, [our racks] and so converter slag material. But the rest of the stock should be at a normalized level by the end of the year. In terms of finished goods, I think we have drawn down on our stocks at the end of June, and that's pretty much a normalized level.
Theto Maake: Thanks for that. I think Adrian is patiently waiting there on the conference call, so I'll hand over to Judith just to facilitate conference call questions.
Operator: Thank you ma'am. The first question comes from Adrian Hammond of SBG Securities. Please go ahead.
Adrian Hammond : Yeah, thanks very much for the opportunity. Craig, well done on a great set of operating performance on the unit cost side of things, but I just want to ask a bit more about the demerger. So I think you've given quite a confident outlook in the commentary. Personally, now that you're the leader of this company, what sort of changes would you personally like to implement in terms of this company going forward? Then, if Sayurie could just confirm that the dividend policy will remain as is with the 40% balance. And then also, Craig, any more color on the options to manage the potential flowback? And then if Benny's on the line, perhaps he could just indicate to us when he thinks the destocking cycle will end, and perhaps he can give us a bit more color on customer inquiry from Hilton. Thank you.
Craig Miller: Thanks, Adrian. Thanks very much for the comments. I think your question, what will I change as the CEO of the business on demerger plus when? Our reporting timeline at interims, I think, getting results out by Monday the 22nd of July is no Herculean feat, so kudos to the team in getting us to this point. From my perspective, the demerger creates a great opportunity for us as a business, and I've articulated it. And I'm particularly passionate about what that does create for us to be able to continue to invest in the amazing metals that we produce here in Southern Africa, and to do that in a sustainable way, which creates value for all of our stakeholders. And that, really for me is, really part of why I've been with Anglo American Platinum since 2019, and I'll continue to do that as CEO, as the demerged entity. So not a great deal changes from day number one, we'll continue to make the right decisions and invest appropriately in our assets, but more importantly, that we also drive the full potential from our assets, and we ensure that we are as efficient and as effective as we possibly can be given those opportunities. So, yeah, I think it's a fantastic opportunity, and we're all excited by the opportunities that will emanate from that to be able to continue to invest in PGMs. In terms of the flowback, yes, the flowback, we have been working with Anglo American in terms of the potential flowback, and we're continuing to evaluate those options. There's two things that we think are important from a flowback perspective. First of all is highlighting what the investment case is for Anglo American Platinum as a standalone entity, and we've touched on the positive outlook for PGM demands. We've touched on and I reiterated the quality of our assets that we have in the portfolio, and the discipline that we have in terms of investing in the assets then creates long-term sustainable value. And I think if we're able to articulate that to our new group of shareholders, that will certainly help create some further interest in participating in Anglo American Platinum's future and potentially also reduce the impact of the flowback. But recognizing that the flowback is going to -- is something that we need to be aware of, and we are working with Anglo American in terms of looking at a secondary listing in London as a potential in order to mitigate that. And so that work has started, and that work is underway, and that's what we're working on. I think there's two -- just two further points around that. As a standalone entity, we've got a number of the structures already in place from a governance perspective, from the systems and the processes. A lot of that is already in place, so that's not something that needs to be created from scratch, and so that's, I think, an important differentiator. But clearly we need to just work through the various requirements that we have in order to successfully list as a secondary listing on the stock exchange, with the primary listing continuing to be in Johannesburg and as headquartered here in South Africa. So I think that's the key. I think that was on the flowback. And then I think it was just Hilton on just customer participation, and then I'll come back to Sayurie to reiterate the comments around the dividend.
Hilton Ingram: So Adrian, we had an interesting occurrence earlier in the year, well, earlier in the month where a Hong Kong vault was sanctioned for dealing in gold. And what you saw there was a 15% increase in the palladium price and lease rates shooting out to greater than 10%. I take both of those as evidence that inventories, particularly in the West, aren't as high as what people were anticipating. So you're expecting to see prices trade more in line with the physical supply demand balances of these materials, though the challenge continues to be the large short positioning in palladium. In terms of automotive buying behaviour, what we're seeing is we're seeing more frequent spot purchases from our automotive colleagues as their production requirements surprise them to the upside. So we are seeing more frequent spot purchases, which is also comforting.
Craig Miller: Thanks, Hilton. And then just on dividend.
Sayurie Naidoo: Yeah, so we will need to assess any changes that we will need to make as an independent entity. However, the key principles remain, I think. We will definitely be balancing investing in the business with returning cash to shareholders. And earnings payout ratio seems to be a good way forward in terms of returning cash to shareholders.
Operator: Adrian, does that conclude your questions?
Adrian Hammond : Yeah, yeah, that's clear. I mean, I just on the dividend policy. I mean, your answer wasn't clear, but in my experience that sustaining a policy such as one based on earnings is always the first order of defense for shareholder returns and of course your premium rating because it doesn't prejudice shareholders during capping cycles. So I hope with your answer you mean and keep the policy in place. Thanks very much.
Craig Miller: Point noted Adrian, I think we recognize the importance of making sure that we've got the balance between rewards to shareholders and investing in the business and we've maintained that discipline and I have every expectation that as a standalone entity we'll continue to maintain that discipline.
Adrian Hammond : Thanks, Craig.
Operator: The next question comes from Ephrem Ravi of Citi. Please come ahead.
Ephrem Ravi: Thank you. Most of my questions have been answered, just a couple of smaller points on the demerger. If there is a decision to have a listing in London to reduce the amount of flowback, could you quantify the incremental ongoing costs expected to Anglo Platinum and also the one-off cost that would involve and would that be kind of borne by Anglo Platinum or by the Anglo Group as a whole? The second question on Mogalakwena, if I understood correctly you're still looking at 2.7 grams to 2.9 grams per tonne sort of expected grade out to 2026 and then about 3.0 grams from 2027 onwards. I'm just trying to figure out if Mogalakwena, from a dollar per round of free cash perspective would come from being the second lowest in the portfolio to the highest in the portfolio as it was before 2020? Thank you.
Craig Miller: So, thanks for the question. I think as it relates specifically to the cost of a secondary listing, so here I think the analysis that we've done it's relatively insignificant, the cost of having a secondary listing on the London Stock Exchange given the fact that we've got a lot of the governance processes and structures already in place as a separately listed entity.
Sayurie Naidoo: Yeah, that’s correct. It will just be your normal listing fee that you pay on an annual basis.
Ephrem Ravi: It's tens of thousands of pounds?
Sayurie Naidoo: It's nothing major.
Craig Miller: And then as it relates to Mogalakwena, certainly Mogalakwena is a fantastic ore body. At the moment it is, and we are in a position where we are needing to move more waste than what we have historically in order to access the higher grade areas. And as I articulated a little bit earlier, the decision to not progress to the third concentrator, to refocus the pit, does result in a lower amount of waste than what we would have moved had we continued with the third concentrator. And then therefore that value over volume strategy is absolutely playing out. And I think longer term what it is important to remember is the benefit of us moving underground at Mogalakwena. We're actively progressing the exploration declines at Sandsloot and the benefit that that has then is that we're able to extract higher grade ore and not necessarily extract the waste. And therefore once -- with the work that we've done now, together with progressing the underground declines, Mogalakwena will most certainly be placed in the lower half of the cost curve and it will have that cost competitiveness that we've experienced historically.
Ephrem Ravi: Thank you.
Theto Maake : Judith, can we take two more questions on the conference before we move to the webcast?
Operator: Thank you. Our next question comes from Richard Hatch of Berenberg. Please go ahead.
Richard Hatch: Thanks very much for the call. And just a couple of questions. The first one is just on your cost savings target for the second half of the year, the run rate of R780 to R1,780. Can you just help unpack what the difference is between that R1,000? Just help us understand what you need to see to deliver the top end of that cost savings target, please. And then the second one is just a clarification point. On the demerger, is the plan to completely separate yourself from Anglo American PLC or did I hear it that you would consider still sort of paying for some services, you know, kind of administrative services and such like from the PLC Group or was I wrong in that and you want to completely separate and remove all links whatsoever? Thanks.
Craig Miller: I'll go to the second question. So you go with the first.
Sayurie Naidoo: Yeah. Okay. So in terms of the unit cost, so we will maintain the H1 run rate. So that is your, so the R2.9 billion. And then in addition to that, we will deliver further cost savings as a result of the operational restructuring. So we have largely completed the restructuring at the end of June. We do have further exits of people in the second half of the year, but we'll start realizing the actual cost benefit of that. So on an annualized basis, that's about a R1.5 billion in labor reduction. So we'll see about R600 million of that on top of the H1 run rate. And that unit cost guidance obviously also assumes a step up in our own mine production in the second half of the year.
Craig Miller: Okay. Then Richard, just let me, sorry, let me just be clear around the demerger. So the intention is very firmly to separate from the Anglo American Group. The point that I was just making that as you go into 2025, a number of services which are currently being performed by Anglo American, we could see an arrangement where we would have a transitional service arrangement agreement in place where they'll continue to provide those services for a period of time while we either bring those services in-house into Anglo Platinum or we would look to for somebody else to perform them. But the firm intention is then the separation. And then we'll be in a transition period around some of the activities, which will end at a particular point in time. And we're working through that with Anglo American at this point.
Richard Hatch: Cool. Thanks Craig. Very clear, thanks.
Operator: Thank you. We have no further questions on the telephone lines.
Theto Maake : Perfect. Thanks, Judith. I guess on the webcast, I'll start with Renee from NOAA Capital. So well done on your all-in sustaining cost drop, half on half. Then he moves to safety, just to say what exactly happened at Dishaba for the two fatalities, will guidance still be met?
Craig Miller: Yes. So thanks Renee. So unfortunately, on the 7th of June, Tshepiso and Euzmen fell down a ore pass, which was in the process of being developed. A tragic set of circumstances and it’s clearly a lot of lessons that we're learning as a result of that. They were part of the construction and the development teams. So they were working on future ore pass development. And so it's clearly something that we've been reevaluating across the whole Amandelbult complex to ensure that our procedures are in line or our activities are in line with our standards and our procedures. The impact that as a result of the safety stoppage that we implemented, and then subsequently the Section 54 that we had with the DMRE, which has now been uplifted, is likely to have about a 5% impact on Amandelbult’s production. That's what we've quantified at the moment. But as we've articulated, we still remain confident to be able to deliver into our production guidance for the full year, despite the incident at Amandelbult and then the incident at Mogalakwena in July.
Theto Maake : Thanks, Craig. So the next one is from Shashi from Citi. So he says your unit cost guidance for 2024, is it safe to assume that that will be the base going forward into 2025 and beyond? How will the demerger also impact your medium and long-term strategy? I think the second one you may have answered already, but maybe Sayurie for you on the unit cost going forward.
Sayurie Naidoo : Yes, in terms of unit cost, the R16,500 to R17,500, we do expect to be at the top end of that guidance for 2024, but we would maintain. So the R5 billion reduction was slightly over. We expect to maintain that on a sustainable basis. So we will expect unit cost to be at that level. And as we said, we're all-in sustaining cost at below $1,050 per ounce.
Theto Maake : Thank you. The next one is from Matthew [indiscernible]. This one is for you, Hilton, on what are you seeing in terms of Chinese-made vehicle loadings?
Hilton Ingram: Yeah, that's a long and complex question. And for the minute, the loadings appear to be flat, right? We do see that loadings in China are slightly lower than what they would be for the equivalent to European vehicles. And that's on the back of lower cold slot requirements, which means that they can get away with slightly lower loading. But we're not seeing terribly much by the way of thrifting and on the PHEVs we are already seeing the same sort of loadings that you would see on an equivalent ICE vehicle.
Theto Maake : Thanks Hilton. Next question is from Myles, UBS. We already touched on potential for UK listing but he says, would it be possible for us to be included in the indexes? I'm assuming both UK and South Africa that were not previously included.
Craig Miller: So Myles, some of the early work that we've done given the fact that we will retain a primary listing on the Johannesburg Stock Exchange and retaining our headquarters here in South Africa, that does not enable us to participate on some of the indexes on the FTSE even with the secondary listing. But that being said, I think we can certainly put ourselves forward around the investment case and why people should own Anglo American Platinum outside of what the index has and that's certainly the work that we'll be doing in the second half of the year as we work on the demerger.
Theto Maake : Thanks for that Craig. So the next one, I'm going to take three more questions from the webcast. So the next one is from [Jan Ray] from [Viso Fund]. I'm going to read it word for word. So how do you think about acquiring or selling assets once you have exited the parent? Would you consider other metals, e.g. battery metals, or are you exclusively committed to PGMs? In addition to that, is mutually beneficial JV at Amandelbult with Northam, still an option?
Craig Miller: So thanks, [Jan Ray] for the question. So just to be clear, as I articulated a little bit earlier, we are a PGM producer. We produce PGMs, we have fantastic assets, and we really do have the expertise and the know-how to be able to extract those, and we need to continue to extract them for full value. So our focus is really extracting, is realizing that value from our PGMs, and there is no intention at this stage to look at any other metals. In terms of other assets, our focus is really driving the operational excellence from the existing assets in our portfolio. Not only can we drive greater value from their current performance, but they also have fantastic optionality into the future, which we are continuing to invest in, in a disciplined way. And that's really our focus as a business and really part of our strategy going forward.
Theto Maake : Perfect. Thanks. Thanks, Craig. Actually, the last two questions are the same and quite difficult, so I'm hoping you are ready for them. So both from, are done from PWC and [Ramadi Meta]. So they ask, can we expect a name change as part of the demerger process from Anglo American? Will Anglo American tag be dropped? So it's the same question for both.
Craig Miller: Our focus at the moment is really on making sure that we have a successful demerger and a successful separation and ensuring the long-term sustainability of our business, focused around the operational excellence and ensuring that we're set up to be successful. And as it relates to a potential name change or anything like that, we'll get to that in due course. But at the moment, I think we've got enough other things on the to-do list just at this particular point in time.
Theto Maake : Thank you. Thanks, Craig. Ladies and gentlemen, that brings us to the -- oh, I see Leroy, actually, you want to have one last question? You’re good. That actually brings us to the end of the session. Thank you so much for joining us, both in person as well as online. Most of you, we will see you in the next two weeks when we are on the road. And thanks once again for joining us. Thank you.